Operator: Good day, everyone, and welcome to the Matthews International First Quarter Fiscal 2026 Financial Results. [Operator Instructions] Please note this call may be recorded. [Operator Instructions] It is now my pleasure to turn the conference over to Dan Stopar. Please go ahead.
Daniel Stopar: Good morning. I'm Dan Stopar, Chief Financial Officer of Matthews. And with me today is Joe Bartolacci, our company's President and Chief Executive Officer. Before we start, I would like to remind you that our earnings release was posted on the Investors section of the company's website, www.matw.com last night. The presentation for our call can also be accessed in the Investors section of the website under Presentations. Any forward-looking statements in connection with this discussion are being made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Factors that could cause the company's results to differ from those discussed today are set forth in the company's annual report on Form 10-K and other public filings with the SEC. In addition, we will be discussing non-GAAP financial metrics. I encourage you to read our disclosures and reconciliation tables carefully as you consider those metrics. In connection with any forward-looking statements and non-GAAP financial information, please read the disclaimer included in today's presentation materials located on our website. Now I will turn the call over to Joe.
Joseph Bartolacci: Thank you, Dan. Good morning. Thanks for joining us today to discuss the financial results for Matthews fiscal 2026 first quarter. Today, we aren't just reporting on a quarter. We are reporting on the successful execution of a strategic pivot. Over the last 12 months, we set a target to bring our leverage ratio below 3x. I am pleased to announce that following a series of actions, we've achieved our goal. During our first quarter, we closed on the sale of our warehouse automation business for $225 million, representing a very accretive 15x adjusted EBITDA and a very accretive after-tax multiple of 11x for an asset that was highly underappreciated by the market. In addition, we recently closed on the sale of Saueressig, our European Packaging and Surfaces business for a total consideration of $41 million, including cash, the assumption of pension and other liabilities and promissory notes. Selling the Saueressig assets enabled us to avoid significant restructuring costs and shed pension liabilities from our books. Saueressig represented the remaining assets of the packaging business that was not sold or transferred in our transaction with SGS. Saueressig was held back from the SGS transaction because we would not have received much value for the business. Instead, we converted the business to a highly favorable transaction for the company. Since last year, Saueressig EBITDA was only $1.5 million. Also, as a result of the Saueressig transaction and actions taken over the past few years, our remaining pension liabilities stand well below $10 million from well over $300 million just a few years ago, of which $125 million was unfunded. As a result of these transactions, our net debt is down to roughly $500 million. We now sit below 3x, a balance sheet-driven target that we had set for ourselves 12 months ago. Beyond just reducing the debt balance, we have fundamentally improved our balance sheet and our cash flow profile. In January, we executed the early redemption of our -- of all $300 million of our 8.625% senior secured notes. By replacing high-cost debt with lower cost capital, we expect to increase our annual cash flow and reduce our annual interest expense by $12 million. This move reclaims capital can now be deployed toward our dividend, internal innovation and high-margin opportunities in memorialization. A key pillar of our future cash realization is our 40% interest in Propelis. The merger of SGK and SGS is already outperforming expectations. Propelis is now operating at an EBITDA run rate significantly higher than the $100 million that was assumed at the time the deal was closed. In a move that should further enhance inbound cash flow, the Propelis team is currently migrating onto their own version of SAP. This move alone will activate $20 million in potential synergies, part of a total synergy target that exceeds $60 million, much of which is yet to be achieved. We expect to reap the full benefit of this investment when we exit the business, which we anticipate in an 18- to 24-month window. However, assuming a successful conversion to the new operating system in the coming months, we hope to begin to receive some repayment of our preferred equity possibly as soon as our third quarter. Between the rising equity value and our $50 million preferred, including PIK interest of 10%, we view Propelis as a significant cash and waiting event. Given all that transpired in fiscal '25, we're happy with our first quarter results for fiscal '26. Total revenues were down on a year-over-year basis to $284 million, primarily reflecting the divestiture of our interest in SGK. Additionally, after adjusting for the 3-month lag in reporting and including our 40% interest in Propelis, adjusted EBITDA for the 2026 first quarter was $35 million compared to $40 million in the prior year's first quarter, which included 100% of SGK, a pretty compelling indication of how well we performed in the quarter. Turning to our businesses. Memorialization continues to serve as the engine that drives our asset portfolio. Our Cornerstone segment had a solid quarter, buoyed by inflationary pricing and higher casket volumes driven by an active flu season and a strong performance in several other product lines. The segment reported a 7% year-over-year increase in sales, thanks to a positive contribution from the Dodge acquisition. Our team has done an exemplary job integrating Dodge, and they are capturing cost synergies ahead of plan. We've also taken significant steps to reduce the initial outlay to acquire Dodge, including expected asset sales and working capital reductions. The outcome of these transactions will bring the adjusted purchase price of Dodge closer to $50 million with anticipated EBITDA contributions of over $12 million, another highly accretive acquisition. We believe there are more M&A opportunities like Dodge available to us, though it is difficult to ascertain when business owners might be ready to contemplate a sale. However, our deep relationships in this space should enable us to be ahead of the market when the time is right. We're also seeing strong demand for Mausoleum Construction, which bodes well for our Gibraltar Construction business. Mausoleum projects provide good margins and more importantly, pull through additional opportunities for other products such as bronze lettering and vases. Moving on to Industrial Technologies. Revenues were down 14% year-over-year in the first quarter, primarily reflecting lower sales by our Energy Solutions business and the impact of the Saueressig Surfaces divestiture. Let's first focus on our Product Identification business, where sales grew modestly during the first quarter, driven by favorable currency shifts and tariff impact. Axian, our new printhead chip product, made its public debut at a PACK EXPO, where the market response was exceptionally strong. We were not surprised by the high interest, which resulted in a strong list of customers entering into our early pipeline directly from meetings at that event. Since the PACK EXPO event, global interest in Axian has continued to build. Our distributors in the EMEA region are showing strong pull, and we're now engaging targeted customers across the region, broadening visibility and accelerating early adoption. We're also seeing Axian being a clear entry point into the CPG space, where we have expanded what we believe to be our total available market to over $3 billion. Through our introduction and initial discussion with customers, we are seeing interest not only from continuous inkjet users, which is still the largest part of the market, but also from thermal inkjet customers seeking high-quality print at substantially lower cost than thermal inkjet. This new interest further validates the high value of our intellectual property. We have been running our Axian systems in real-world production environments and delivering stable uptime, consistent print quality, reduced cost of ownership and ease of use, essentially all of our value propositions. One final note on Axian. Based on customer feedback, we recently made a deliberate decision to pause shipments and incorporate a small set of production refinements to the equipment. Specifically, we added more electronic shielding to the product to protect it from electrical noise, nothing of significance in a normal part of initial product launches as we can never fully evaluate all of the operating environments in which the equipment is used. That work is now complete, and we are positioned to place production units this quarter with these additional improvements. Overall, the strong market reception, the larger TAM, expanding global pipeline and a solid beta performance gives us confidence as we move towards volume production. As mentioned in previous quarters, we are seeking partnerships in this business to accelerate the adoption of this technology and offset some of the costs associated with further development. We hope to have further news on this initiative as the product gains market acceptance and we are able to ramp up our production. Moving on to our Energy Solutions business unit. It was a challenging quarter as we expected. But while the European market and U.S. battery space face near-term headwinds, our IP remains a global benchmark. We firmly believe in the value of our IP, while interest in our solution remains strong and steady as reflected in over $100 million in our lead pipeline. Included in the pipeline are several opportunities on the calendaring side where we expect decisions to be made in the second half of this fiscal year. We're also discussing opportunities on the ultracapacitor front and hope to have some clarity on order decisions later this fiscal year. Additionally, as we discussed last quarter, we are awaiting a decision from a domestic energy solutions provider for a $50 million U.S.-based opportunity for a battery separator line. The technical team for the client has approved our equipment's efficacy and the significant value that it provides. We expect this opportunity will convert to an order later this fiscal year as the customer works towards securing supply agreements. Our near-term expectations for the dry battery electrode market has decreased. However, DBE is still viewed by market participants as highly valuable and an enabler of next generation of chemistries, including solid state. We continue to see industry announcements on R&D and patents around the dry process. For example, LG recently stated its intent to actively pursue strategic patents relating to DBE as they view it as a critical for large-scale production. The company also confirmed its goal to begin full-scale commercial production by 2028. Samsung recently identified the 2026, 2027 time frame as a pivotal period. Their CEO also spoke of a battery super cycle where a period of demand growth will enable their next-generation technology platform, including solid-state batteries to reach full-scale mass production. Samsung's mention of a super cycle also augurs well for the energy storage systems market, which is expected to double globally by 2030. Analysts expect this market's growth to be driven by several factors, including U.S. tariffs on Chinese-made batteries, enabling Korean manufacturers to expand the North American market share and Korean firms converting their underutilized EV battery lines to energy storage production. These activities speak of a market that is pivoting towards the type of battery chemistries and regional supply chains where DVE technology provides the greatest competitive advantage. To protect cash, while we wait for the battery super cycle, we are exploring strategic partnerships and direct investment to expand adoption without heavy capital expenditure. This continues to be an area of focus for our bankers supporting our strategic alternatives efforts. With regard to our outlook for 2026, we believe a full year contribution from the Dodge acquisition will enable memorialization to grow in fiscal 2026. Additional cost reduction actions at the engineering business are planned for later this fiscal year to mitigate any further declines in the business as we work towards converting several opportunities into orders. Based on these factors and inclusive of our 40% interest in Propelis, we expect our adjusted EBITDA guidance to be at least $180 million for fiscal 2026. Please note that several events may have impact on our full year results. First, we have been accruing the PIK interest related to the preferred that we received from the SGK transaction. That interest is reflected as a reduction in our corporate and other operating costs. Obviously, to the extent that we receive principal as a reduction of our preferred, PIK interest will decline, but then we will have also received cash, which will further reduce our debt. Second, the timing of orders in our energy business is somewhat out of our control. Although we are confident in the value that we have demonstrated to our customers, demand in North America and Europe for additional battery capacity has slowed. We believe that we have anticipated this in our guidance, but we remain cautious on our timing. While our current transition services agreements from recent sales temporarily limit our ability to slash overhead, these agreements have expiration dates. Once they have rolled off, we expect to focus on our corporate cost structure, which we expect will be materially lower. We have demonstrated that we know the true value of our assets, and we will be patient in taking actions that do not reflect the best interest of our shareholders. We have fixed our balance sheet, and we are now focused on accelerating the returns to our shareholders. Finally, our evaluation of strategic alternatives is continuing. As discussed above, we are principally focused on finding partnerships, which will benefit our shareholders by capturing the full value of our intellectual property. However, we will be prudent, like we have demonstrated by the sale of our warehouse automation business and the merger of SGK, we know what the true values of our businesses are, and we'll be patient in our process. Now I'll turn it over to Dan for a deeper dive into our financial performance.
Daniel Stopar: Thank you, Joe. Before starting the financial review, I want to give a reminder on the financial reporting with respect to the SGK business. As you are aware, the divestiture of this business closed on May 1, 2025. As part of the transaction, the company received a 40% ownership interest in the newly formed entity, the Propelis Group. Please note that as a result of the integration process of Propelis Group and the transition to its own stand-alone reporting systems, our 40% portion of the financial results of Propelis will be reported on a 1-quarter lag. As a result, the consolidated financial information for the fiscal first quarter of 2026 discussed today includes our 40% interest in the financial results of Propelis for the months of July through September of 2025. In contrast, the prior year first quarter consolidated financial information reflects the complete financial results of the SGK business. Our financial statements will be included in the quarterly report on Form 10-Q and will also reflect our portion of the results of Propelis for July through September 2025. Now let's begin the financial review with Slide 7. For the fiscal 2026 first quarter, the company reported net income of $43.6 million or $1.39 per share compared to a net loss of $3.5 million or $0.11 a share a year ago. The change primarily reflected a significant gain recorded this year on the divestiture of the warehouse automation business, partially offset by losses recorded on the divestitures of the European packaging and tooling businesses, higher litigation and other strategic initiative costs and lower operating performance in the Industrial Technologies segment for the current quarter. Consolidated sales for fiscal 2026 first quarter were $285 million, compared to $402 million a year ago. The decrease primarily reflected the divestitures of the SGK business on May 1, 2025, and the European packaging and tooling businesses on December 1, 2025. The consolidated sales impact of these divestitures was approximately $120 million for the current quarter. Sales for the Industrial Technologies segment were lower for the quarter, offset partially by higher sales for the Memorialization segment. Consolidated adjusted EBITDA for the fiscal 2026 first quarter was $35.2 million compared to $40 million a year ago. The decline primarily reflected lower operating performance by the engineering business. The Memorialization segment reported higher adjusted EBITDA for the quarter, while corporate and other nonoperating costs were higher in the current year. On a non-GAAP adjusted basis, net loss attributable to the company for the current quarter was $6 million or $0.19 per share compared to net income of $4.3 million or $0.14 per share last year. The decline primarily reflected the impact of lower operating profits and the unfavorable impact of losses in foreign jurisdictions for which we were unable to record tax benefits. Please see the reconciliations of adjusted EBITDA and non-GAAP adjusted earnings per share provided in our earnings release. Please move to Slide 8 to review our segment results. Sales for the Memorialization segment for the first quarter of fiscal 2026 were $204.2 million compared to $190.5 million for the same quarter a year ago. The Dodge acquisition contributed sales of approximately $10.4 million to the current quarter. Higher sales volumes for caskets, bronze and granite cemetery memorials, combined with inflationary price increases also contributed to the improvement in the segment's results. Mausoleum sales declined, primarily resulting from timing of construction projects and cremation equipment and related sales were also lower than a year ago. Memorialization segment adjusted EBITDA for the current quarter was $38.9 million compared to $36.6 million for the same quarter last year. The increase primarily resulted from the benefits of higher sales volume, inflationary price realization and cost savings initiatives, partially offset by the impact of higher labor and material costs. The Dodge acquisition and the disposition of the unprofitable European cremation equipment business also contributed to the increase in the segment's adjusted EBITDA. Please move to Slide 9. Sales for the Industrial Technologies segment for the first quarter of fiscal 2026 were $69 million compared to $80.5 million a year ago. The decline mainly resulted from lower sales for the segment's engineering business and the divestiture of the segment's tooling business on December 1, 2025. The decline was offset partially by higher sales for the warehouse automation business. Changes in foreign currency rates also had a favorable impact of $2.9 million on the segment's current quarter sales compared to a year ago. Adjusted EBITDA for the Industrial Technologies segment for the current quarter was a loss of $4.5 million compared to a profit of $1.8 million for the same quarter a year ago. The decrease primarily resulted from the impact of lower engineering sales, offset partially by the segment's cost reduction actions in its engineering business and the impact of lower compensation expense. Please move to Slide 10. Sales for the Brand Solutions segment were $11.6 million for the quarter ended December 31, 2025, compared to $130.8 million a year ago. Sales for the current quarter were comprised of the months of October and November for the segment's European packaging operations, which were divested on December 1, 2025. The impact of this divestiture was a decrease of $3 million compared to the same quarter in the prior year. The remaining decrease resulted from the divestiture of the SGK business on May 1, 2025, which had an impact of approximately $115 million for the quarter. Adjusted EBITDA for the Brand Solutions segment was $12.7 million for the current quarter compared to $12.3 million a year ago. The current quarter mainly reflects the company's 40% interest in Propelis as our European packaging business reported relatively breakeven results, and this was generally consistent with the same quarter a year ago. To reiterate the earlier comments about Propelis, our 40% portion of the financial results of Propelis is reported on a 1-quarter lag. And as a result, the consolidated financial information discussed today includes our 40% interest in the results of Propelis for the months of July through September. Please move to Slide 11. Cash flow used in operating activities for the fiscal 2026 first quarter was $52 million compared to $25 million a year ago. The first fiscal quarter is typically our slowest, generally reflecting a net operating cash outflow, and this is due primarily to seasonally lower earnings and the payment of year-end accruals, taxes, insurance and other annual payments. The quarter also reflected payments in connection with divestitures, litigation and other strategic initiatives. Outstanding debt at December 31, 2025, was $537 million and net debt, which represents debt less cash, was $506 million. Net debt declined by $173 million in the first quarter of fiscal 2026, driven by receipt of $240 million of cash proceeds from the divestitures of the warehouse automation business and the European packaging and tooling businesses. Total cash proceeds from the warehouse automation sale, including $40 million of estimated future income tax payments in addition to other costs are projected to be $170 million. This business has a relatively low tax basis and is predominantly a U.S.-based business. Net proceeds from the sale of the European packaging and tooling businesses are approximately $30 million, including $14 million received at closing, $8 million to be received within 90 days of closing and the balance in the form of interest-bearing seller notes due in future years. The buyers also assumed pension and certain obligations with the transaction. For the first quarter of fiscal 2026, the company purchased 206,123 shares under its stock repurchase program at an average cost of $25.04 per share. These repurchases were solely related to withholding tax obligations for vested equity compensation. And finally, the Board declared last week a quarterly dividend of $0.255 per share on the company's common stock. The dividend is payable February 23, 2026, to stockholders of record February 9, 2026. This concludes the financial review, and we will now open the call for questions.
Operator: [Operator Instructions] We'll take our first question from Colin Rusch with Oppenheimer.
Colin Rusch: Guys, as you look at the landscape around ultracapacitors, batteries and a pretty significant investment in domestic manufacturing that's in the planning stages right now. Can you talk about the breadth and depth of potential customers that you're looking at here domestically? And then would also love to hear about something similar in Asia outside of China in terms of how much of those conversations are at this point? I know you gave a little bit of color, but would love some additional detail.
Joseph Bartolacci: Yes, I mean, with respect to the North American markets and the European markets, the customers, all those players that you might expect it to be, whether it be OEMs or whether it be battery manufacturers, we're having conversations with all of them. As you said, it's still in the planning stages, but more and more you're hearing about the desire to move towards DBE, and that's coming from the battery manufacturers. The OEMs are kind of now awakening to the idea that this is where they need to go. And the idea that tariffs on Chinese products could continue for a long time to come, only makes it more important that we are a Western world. So we think we're well positioned to continue to deliver into the future. We're just having a difficult time right now as we go through this cycle.
Colin Rusch: Excellent. And then as you look at the ecosystem of technologies that could augment the DBE, is there anything of interest or bubbling up that we could think about you guys pursuing as a tuck-in acquisition? Obviously, you don't want to signal too hard, but just curious about the pipeline of potential M&A opportunities for you guys.
Joseph Bartolacci: When we speak of energy, it's less about acquisition capacity than it is joint development opportunities with different players, whether it be the mixing side, on the material handling side or on the chemistry side, it's the joint development between partnerships that allow us to bring to fruition the opportunities. I don't need to acquire them. Oftentimes, they're much bigger companies than we are. There may be possibility for them to invest in us or for them to carry the weight of the capital investments that we expect will be necessary for this. So I don't see significant opportunities for acquisition right now. It doesn't mean that something couldn't arise. We own everything we need for the pieces of the equipment that we produce.
Colin Rusch: Excellent. And then just a final one on the balance sheet. Obviously, you guys have optimized the business, streamlined it and now are sitting in a much different position from a debt-to-EBITDA ratio perspective. Are there other things that the company is contemplating now to optimize the capital structure? Or should we think about the current capitalization as the path forward and just generating cash from operations here on an ongoing basis?
Joseph Bartolacci: As a practical matter, you heard me mention what we call the cash and waiting event that comes from Propelis. Two elements of that, whether it be the repayment of the preferred, which is more likely to occur before the exit from the equity. But those 2 events themselves, you can put your own multiple on those numbers. I mean, with a business that's running well over $100 million worth of EBITDA already and relatively low debt in that business, we think debt equity is pretty valuable, whatever multiple you put on that EBITDA. As we start approaching that time when that becomes realization, there'll be more discussions about what we do from a capital structure standpoint.
Operator: Our next question comes from Daniel Moore with CJS Securities.
Dan Moore: Start with memorialization. Solid quarter, obviously. How do we think about just what are your expectations for the market looking at, obviously, caskets, memorials, cremation? When I kind of think about calendar year '26 versus '25, what are the puts and takes there? And then in the very short term, some extreme weather here that can sometimes cause delays in that business. Just wondering what you're seeing early in fiscal Q2.
Joseph Bartolacci: Dan, I'll let Dan Stopar give you the numbers, but let me give you a little bit of color on what the current environment is happening to us. As you've been around for this business for quite a while, you understand the month of January was a difficult month for us. Hopefully, that's just a time step as people still need to be buried, still need to be celebrated and so forth. So we expect that to pick up here in February and March and maybe come back to even a greater number than we had expected. But -- so I would expect we are firing pretty well on a number of cylinders in that business right now. We've just begun the integration from a commercial standpoint of the opportunities on the Dodge side. We think that there's an opportunity to expand both market shares on both sides of the equation, whether it be on the Dodge product side or whether it be on our memorial side. And that team is excited about that opportunity. Those efforts are just beginning as we speak. When we look at the balance of the year, I'll let Dan speak to you about the numbers. He'll give you a better perspective. He's got it in front of him. Go ahead, Dan.
Daniel Stopar: Yes. Dan, I think Joe kind of gave you the overview of the market expectations. Obviously, we're going to continue to add in our year-on-year comps as we pick up more of the Dodge business. And we have synergies that will layer on throughout the year going into the following year, 1.5 years after that. So we continue to follow the same expectation around death rates in the 1.5% to 2% cremation rates that will continue to grow, but at a declining rate. And then obviously, we are taking advantage of our ability to grow in the market and build market share. But also top line will continue to grow as we increase our prices to offset inflationary costs.
Dan Moore: Very helpful. And as you touched on, obviously, synergized down the Dodge acquisitions looking maybe 4x-ish on a kind of adjusted multiple, so certainly very attractive. Talk about just the opportunity set there from an inorganic perspective. Is it that specific end market where you see room for additional opportunity? Or is it more sort of ancillary products around the memorialization business?
Joseph Bartolacci: I think it's both, Dan. At the end of the day, I mean, whether we look to find opportunities to sell our caskets to customers of Dodge that are overseas or in other parts of the North American market where we don't serve today or whether it is to introduce a new product into a market that we currently don't serve. I think that when we look at acquisitions, we think we have a pretty good structure to be able to run through every door in the United States when it comes to sales. So if I can add a product line that we currently don't have and expand it over 100 and some odd salespeople across the United States that currently just put that into their portfolio and begin to sell, we'll add that. And then when we look at our structure, and be able to take the kind of synergies that we took out of the Dodge acquisition in a relatively short period of time, we think we can make some highly accretive transactions. Now to be fair, there's nothing on the horizon right now. I do not want to walk away from this and say we're on a tirade to ramp up our debt levels and continue to go through the acquisition trail. What I am conveying is that there's a significant opportunity across the United States and elsewhere in the world to continue to add pieces to the puzzle to this portfolio that we currently don't have.
Dan Moore: Really helpful. Again, back to energy storage, just pulling on the string a little bit. It sounds like your expectation is that the cadence of orders is likely to pick up in H2 at least based on your current conversations. So we think about more of a kind of a fiscal '27 ramp in revenue? And any kind of sense for the range or scope or size of these opportunities? I know you mentioned one was a $50 million potential revenue opportunity. What are we looking at here just in terms of how we think about the backlog and order book could grow as we look out a couple of quarters?
Joseph Bartolacci: Yes. I mean the interesting thing that comes, you should take from my comments is now the large Korean manufacturers whose names we gave to you earlier, battery manufacturers and others, by the way, are speaking very freely about dry battery electrode. That it is in their development plan, and they expect to be in market with the dates they've kind of committed publicly. I don't expect them to be coming in and launching with $0.5 billion worth of orders. It is a ramp process for them. We have some equipment that we're working on as we speak. Our new production piece of equipment, they -- our people are beginning to schedule time on here to be able to run their samples on our equipment, and that should facilitate the acceleration of the production process for them. As they see a -- rather than going -- as we've said before, rather than going from a lab machine and scaling up to a pilot machine, selling up, scaling up to a production machine, we have a production level piece of equipment that we manufactured that's sitting in our facility in Vreden right now, where we're going to begin selling time to some of our battery manufacturers and OEMs to be able to run their chemistries through to see how it handles it. So we'll be able to speak more to that probably second half, but I do not want to create an expectation of significant orders. We've kind of given you the $50 million order, which we expect. It has passed technical efficacy tests. We have several other smaller orders that make up the other $50 million in our pipeline. Hopefully, those come to fruition over the second half of the year. Then the ramp thereafter is going to be dependent on when they begin to scale out their gigafactories. We don't control that. We're a critical piece of those gigafactories, but we are not the major spend.
Dan Moore: Understood. Really helpful. And just a reminder what is in the -- from a revenue perspective and the projections for fiscal '26, just for energy storage in ballpark terms?
Daniel Stopar: $30 million to $35 million, Dan.
Dan Moore: Perfect. Okay. Last one, obviously, great to see the leverage back down. Congrats on execution of those transactions. Expectations, Dan, for sort of CapEx and free cash flow in fiscal '26, just thinking about the organic delevering capability, whether that's going to be closer to breakeven or if we can kind of start to tick that even lower on an organic basis here in the near term?
Daniel Stopar: Yes. Dan, CapEx should be around $25 million for the year. From this point forward, this is Q1, we typically build working capital. And from this point forward, for the rest of the year, we should get some small benefits, $5 million to $10 million on working capital. So with an EBITDA -- cash EBITDA that should be when you start with our $180 million and you back off the Propelis piece that may or may not monetize this year, you're going to be left with about $130 million of cash EBITDA. We should be in pretty good shape after interest expense and dividends, treasury stock to generate some cash for the last 3 quarters.
Dan Moore: Really helpful. I’'ll circle back with any follow-ups.
Joseph Bartolacci: Dan, I'd be remiss if I didn't at least highlight the commentary with respect to the pension. I remember conversations with this group a few years back when we were $125 million underfunded, and we're now down to virtually 0 underfunded. We think that we're pretty proud of what we've had to get done there. And some of that sat in that -- we had to put into our revolver and help the, what created some of the debt situation we were in.
Operator: Our next question comes from Liam Burke with B. Riley Securities.
Liam Burke: Joe, you quantified a few quarters back the quote activity that you've been having as the Tesla overhang has been eased. Off that number, and I'm not asking for a number, but directionally, is that quote activity increasing? And is it concentrated on larger systems?
Joseph Bartolacci: I would not say it's concentrated on the larger systems. It's concentrated on customers that can order larger systems, I would say. The $50 million item is the big ticket item in that portfolio. The rest of them are made up of multiple customers that have the potential to place large orders thereafter.
Liam Burke: Okay. Dan, copper pricing has been increasing. Obviously, that affects bronze pricing. Have you been able to get the increases passed through?
Daniel Stopar: Yes. So far, Liam, I think you know we buy out for about 6 months. So that's -- we're working through that now. But certainly, we've been buying at higher rates all along. We've passed through price increases that should help us offset that to a large degree.
Joseph Bartolacci: Unfortunately, Liam, it's moving faster than our price increases sometimes. So it's a moving target lately.
Daniel Stopar: And our buying is opportunistic, right, to try to time the market when the prices do dip down.
Liam Burke: Great. And just a little color on cremation. There wasn't any mention in the prepared comments. I presume it's just moving along just fine.
Joseph Bartolacci: Yes. After some restructuring, we shut down a facility on the West Coast, concentrated that back into our Florida facility. We're expecting a strong year from them after -- if you recall, last year, we divested of our European operations. That was a comparable that's going to have a year-over-year full year impact on us, but should trail off. I think it's this quarter, right, Dan. So we lose it this quarter, and we're expecting a pretty strong year for them going forward. We're seeing great interest in a couple of new products, in particular, in new services. We've invested pretty significantly in our service portfolio. And that is really what is bringing more and more opportunities for us as our competitors just don't have that scale.
Operator: Our next question comes from Justin Bergner with Gabelli Funds.
Justin Bergner: I have a handful of questions. Most are kind of just clarifying in nature. Maybe to start, the Propelis EBITDA, I think in prior quarters, you provided an estimate for the EBITDA in the quarter, even though the adjusted EBITDA number was speaking to the contribution from the prior quarter. Are you able to do that this quarter as well?
Daniel Stopar: Yes. Justin, we -- last quarter, we were able to provide that because that was year-end. It was much later in the quarter. As we mentioned, they're delayed in developing their financial statements. What I can tell you is this is seasonally their lightest quarter. So we would not expect the profit that we pick up next quarter to be as high as what it was this quarter.
Justin Bergner: Got you. Second, the tax liability on the warehouse automation sale, has that been paid yet or mostly been paid yet? Or is that yet to come out of your cash balance effectively?
Daniel Stopar: No, that will be paid for our normal quarterly payments over the remainder of the year.
Justin Bergner: So it's essentially all remaining the tax liability?
Daniel Stopar: That's correct.
Justin Bergner: Okay. And then just trying to clarify the sale of European packaging and industrial tooling. I think you mentioned December 1, but then I saw the January 7 press release. So how much in sales is coming out of Industrial Technologies for the tooling business? And what closed in December versus in January?
Daniel Stopar: Yes, it all closed in December. And Packaging was about $60 million that came out of SGK, the Brand Solutions segment and $40 million came out of Industrial Technologies.
Justin Bergner: Okay. Got you. That's helpful. So then the portion out of Industrial -- okay, so you said there was a few million, I guess, for the quarter that wasn't in there for SGK and a few million that wasn't in there because of Industrial Technologies because of the December 1 close.
Daniel Stopar: Yes, that's right. It was about $3 million, I believe, on the SGK side and yes, a couple.
Joseph Bartolacci: Yes, on the industrial side.
Daniel Stopar: On the Industrial side.
Justin Bergner: Okay. Got you. And then maybe bigger picture, what remains active in the electric vehicle kind of pipeline as it relates to your energy storage business? I mean it seems like most of what you're talking about is outside of EVs now, but where do you continue to engage on the EV side?
Joseph Bartolacci: No, no. In fact, actively, all of them are on the EV side, whether it be the battery separator line, whether it be the calendar lines that we've quoted, the $100 million is pretty much all located in the EV sector. They also could be for energy storage, which would be more for freestanding facilities. But I mean it's all related to that.
Justin Bergner: Okay. Got you. And then the chip had delay because of some of the customer requests on electrical security, how many months did that back the program?
Joseph Bartolacci: 30 days. 30, 45 days, Dan. Excuse me, Justin. It was a minor tweak basically.
Operator: It appears we have no further questions. I'll turn the program back to the speakers for any additional or closing remarks.
Joseph Bartolacci: We have no further comments. We appreciate your time today, and we look forward to speaking to you in several months.